Operator: Good morning, and welcome to the Franklin Street Properties Corporation Third Quarter 2014 Results Conference Call. All participants will be in listen-only mode. (Operator Instructions)I would now like to turn the conference over to Scott Carter, General Counsel. Please go ahead.
Scott H. Carter: Good morning, and welcome to the Franklin Street Properties third quarter 2014 earnings call. With me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; Jeffrey Carter, our Chief Investment Officer and Janet Notopoulos, President of FSP Property Management. Before I turn the call over to John, I must read the following statement. Please note that various remarks that we may make about future expectations, plans and prospects for the company may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Annual Report on Form 10-K for the year ended December 31, 2013, which is on file with the SEC. In addition, these forward-looking statements represent the company’s expectations only as of today, October 29, 2014. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company’s estimates or views as of any date subsequent to today. At times during this call, we may refer to funds from operations or FFO. A reconciliation of FFO to GAAP net income is contained in yesterday’s press release, which is available in the Investor Relations section of our website at www.franklinstreetproperties.com. Now I’d like turn the call over to John. John?
John Demeritt: Thank you, Scott, and good morning, everyone. Welcome to our third quarter 2014 earnings call. On today’s call, I’ll begin with a brief summary of our quarterly results and also our financing update. After my remarks, our CEO, George Carter, will discuss the quarter in more detail and provide an update on our operations and overall strategy. As a reminder, our comments today will refer to our earnings release, supplemental package and 10-Q, all of which were filed yesterday and can be found, as Scott said, on our website at www.franklinstreetproperties.com. For the third quarter, we’ve reported an increase in funds from operations or FFO of about $300,000, a 27.9 million compared to the third quarter of 2013. The increases were driven by higher property income and were somewhere offset by higher G&A cost and interest cost. FFO per share was $0.28 which was squared year-over-year and also compared to the prior quarter. Year-to-date, our FFO was $0.85 which represented 9% over the same period last year and the change was mainly driven by the same factors affected the two quarters with this higher property income and somewhere reduced by higher interest cost and interest – and increased G&A. Our results this year have been in line with our expectation. Turning to our balance sheet and current financial position, at September 30, we had approximately 905 million of unsecured debt outstanding and our total net market cap was 2.03 billion. At quarter end, we had a cash balance of 15.9 million and 250 million available on our $500 million unsecured line of credit giving us about 231 million of liquidity to support our capital needs and growth strategies. We’ve remained comfortable with our leverage, and our debt-to-total market cap ration was 44.6 at the end of the third quarter. Our debt service coverage ratio was about five times and our debt to adjusted EBITDA ration was about 6.7. We’ve seen investment grade rate of this past June and are current working with our bank group on the credit facilities that we have, which consist of a five and seven year term loan in our revolver. We’ll also announce the transaction soon that extends our revolving maturity out four years to 2018 but the one year retention option like we have now. Now we take it up throughout the 2019 if we use that expansion. We think this is the good time to extend our bank maturities, ahead of the potential impact of cards coming from increased regulations on banks. Our rating also positioned us to obtain lower lending spreads on our revolver and lower facility fees. Once we do close transaction, we’ll make the appropriate disclosure, so the information will be available to everyone. We’ve remained an unsecured borrower and 59% of our debt is our fixed rate at September 30th. We believe our balance sheet strategy provides flexibility to efficiently make real estate investment into recycle assets and we feel that make sense. There is also a balance of having longer term debt and as we grow – or as we grow, we expect later all these maturities. Lastly in our press release last night, we updated our guidance. We’re tightening our range throughout the whole guidance with $1.10 to $1.12 per share from a $1.9 to $1.12 representing an increase of one penny at the low end of the range. As a reminder, our guidance excludes the impact of future acquisitions, dispositions and capital market transaction except of those that we’ve already announced. With that I’ll turn the call over our CEO, George Carter. Thank you for listening. George?
George J. Carter: Thank you, John. Good morning everyone and thank you for taking the time to listen to Franklin Street Properties’ third quarter 2014 earnings call. My prepared remarks today will follow my writing commentary in yesterday’s earning press release. And after my comments, we’ll open the call for questions. For the third quarter of 2014, FSP’s funds from operations, or FFO, totaled approximately $27.9 million or $0.28 per share and as John said that’s last year-over-year to the quarter as well as flat against last quarter. For the nine months ending September 30, 2014, FSP’s FFO totaled approximately $84.9 million or $0.85 a share, a 9% increase over the same period last year about 15.3 million. Our directly-owned real estate portfolio of 39 properties, totaling approximately 9.7 million square feet, was approximately 93.3% leased as of September 30, 2014 that’s down from about 94% leased at the end of last quarter and our comparative same-store rental growth continues to total approximately 2.8% through the first nine months of 2014. Currently, we are in active efforts to lease existing vacancy, future portfolio lease-rolls and to potentially dispose of several of our suburban office assets that, we believe, are no longer core to our long-term strategy. On the disposition side, we are currently marketing six non-core properties with an estimated market value of about 150 million. We may sell all of these, none of these, or some of these properties like we in the fourth quarter of this year and the first quarter of 2015. We are also pursuing a number of potential new property acquisitions within our primary markets, and I will tell you that the world has come to our primary markets over the last 12 months with vengeance and they are looking to purchase the kinds of properties that we have been purchasing and are continuing to look to purchase the reserving infill CBD properties that have world value relative to replacement costs, current market rate, current market lends in the properties relative to the market rate that we could well up to. And between that competition, cap rate compression and so on, we have seen on particular fully marketed heavily big deals, prices really start to rise and some of the underwritings were I’ve just gotten through which for our guidance and we have backed out, but we still have sellable projects we’re working on which John can talk about later. And we particularly are focusing on our relationships where we have an opportunity to pursue properties that are not fully marketed that are half marketed and not giving this big process that seems to be driving that prices up to areas that we did not still contemplate. And we also are continuing to analyze with our development team as a best opportunity for the anticipated future repositioning of our 801 market having themselves office building located in Minneapolis, Minnesota. This if you remember is the smaller of two buildings a 170,000 square feet approximately a four storey building that TCF Bank will vacate in starting from 2016. We have and working with our team causing to potential Minneapolis tenants seeing what the demand is for the kind of space and the amount of space trying to scope up the size and cost of the project relative to tenant interest within I anticipate in repositioning there until we have some releasing develop tenants, but have a lot of activity there and I’m very excited about future opportunity. As we begin the fourth quarter of 2014, our properties portfolio is operating smoothly and our markets are generally study and are improving in terms of their rental condition. And while the third quarter was still required, though there is a lot of effort in activity behind that seems on leasing property dispositions and acquisitions which will make the coming quarters noisy. With that I’ll open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from John Guinee from Stifel. Please go ahead.
John W. Guinee – Stifel, Nicholas & Company: Great. Great and George, thank you very much. Can you expand a little bit on noisy sort of what you see happening and are you considering equity raise as part of all the moving pieces?
George J. Carter: Noise – Hi John. This noise will basically be defined as dispositions and acquisitions. I think that’s the level the noise. We hope to also be able also announce something specific on our Minneapolis potential develop, so that would be the noise level. I think right now everything is on this table in terms of capital structure, so we don’t – never take anything off, but the acquisitions and dispositions funding I think right now as we look at it could bounce out all of our needs but you just don’t know until in fact you disclose other than until that’s acquired whether those capital structures will match off right now, we’re looking at it.
John W. Guinee – Stifel, Nicholas & Company: Great, thank you.
Operator: Our next question comes from Dave Rodgers from Baird. Please go ahead.
Dave Rodgers – Robert W. Baird: Hey, good morning, guys. Jeff, maybe could you give us a little more color on the acquisition, volume, the pipeline that you’re looking at, kind of what types of deals are in there? And then maybe more specifically put a range around any type of dilution or cap rate spread between the dispositions you talked about and the acquisitions that you are kind of underwriting today?
Jeffrey B. Carter: Hey, good morning, Dave. In terms of acquisition, pipeline and volume, I’ve been pleased all year with the pipeline and the volume, it’s been steady both our on marketed and an off-market basis. As George indicated, there is a lot of capital chasing perspective deals in our five core markets. And the types of properties we’re looking at – our acquisition pipeline at the moment is about 558 million in deals and all those deals are within our core five markets. The profile of the deals we’re looking at and that you are likely to see from us will look very similar to what you saw us acquire last year in terms of downtown urban infill CBD quality assets. The assets that we’re looking at have a range of profile from true last-mile value-add to deals that are relatively well leased that have some existing leasing to do but also rents that are on balance below today’s market and can roll upward. Also some deals we’re looking at have good vacancy right now or occupancy right now make other couple of tenants that we think are opportunistic or either expansion or recapture with new tenants. In all cases, we’re looking at deals that have lower placement cost pricing and our – again in our five core markets. Cap rate ranges we’re looking at continue to be in the 5.5 to 6.5 cap rate ranges and in terms of the deals that we’re looking at dispositions were the core referenced, it would be too early for me to comment on cap rates.
Dave Rodgers – Robert W. Baird: Okay. That’s helpful. Maybe for George or Janet, look at the west region, the lease percentage continues trailing below the occupied percentage. I guess, one question is, how far are you looking on that leased percentage number? And can you give us any color on kind of the activity in the west region?
Janet Prier Notopoulos : I’m sorry. So the least is nearly leases that we have already executed that early and have not yet commenced, so you don’t say the FFO of the cash. In fact, your question because I think we disclose that right in the supplemental as to what you can –
Dave Rodgers – Robert W. Baird : I guess, in the west region, the lease percentage is trending below the occupied percentage. So I was wondering on any types of potential move outs that you’re seeing in that particular region that would drive the lease percentage below the occupied percentage?
Janet Prier Notopoulos: You’re saying on a trend basis, it’s on a natural basis.
Dave Rodgers – Robert W. Baird : This quoted in the supplement?
Janet Prier Notopoulos: Could you – I’m sorry. Could you just correct me so that?
Dave Rodgers – Robert W. Baird: Page 16.
Janet Prier Notopoulos : So I just take the time, that you’re looking at –
Dave Rodgers – Robert W. Baird : West region subtotal for lease percentage 84.7.
Janet Prier Notopoulos : Oh, okay, well, one is weighted –
George J. Carter : That’s the weighted average.
Janet Prier Notopoulos : The great weighted average.
Dave Rodgers – Robert W. Baird : Yeah.
Janet Prier Notopoulos : For the nine months versus the percentage lease. So if you look at the total, I believe on those pages, they don’t apply to what we recorded the lease for the portfolio as of the end of this quarter.
Dave Rodgers – Robert W. Baird : Okay. Maybe a follow-up on that, maybe another question –
Janet Prier Notopoulos : I can figure the math, I’m sorry.
Dave Rodgers – Robert W. Baird : Yeah, we’ll follow-up on that and I guess I understand it better. With regard to the RGA Reinsurance space, any color on the back fill or the ultimate outcome there?
Janet Prier Notopoulos : We’re still – we cannot find any research yet, but it still schedules to move out December 31 and we should be able to have the space back and ready to show in January. We have – we continue to have a number of processes in different size categories. Personally I think the activity is going to tick up once we get control of the space and we can get people through and show it. Just for those of you who don’t know the three buildings in the Timberlake project, RGAs, and the middle one and in part of the third building, they’re good buildings, a track of buildings with great highway access and visibility in a desirable submarket. The St Louis market has recovered and it’s very stable. So I think we look at those buildings and that the activity will begin once the move out takes place. But I don’t know it terms of what right now.
Dave Rodgers – Robert W. Baird : Finally, George, in Minneapolis, can you talk about whether you would go ahead with that as a stack project or are you specifically marketing to users before you move forward Minneapolis then?
George J. Carter : I’ll let Jeff talk about that, Dave.
Jeffrey B. Carter : Hi, Dave, again Jeff. We would be not looking to move forward on anything until we had a substantial amount of preleasing and so we are gauging tenant demand with our development team on the leasing side that CB and we are underwriting a variety of potential development scenarios there that includes pure office, as well as most recently we’ve been approached by hotel groups that does express the interest of the site. So we are also exploring the potential of a mixed use development that would include hotel and office and hope to have more information to report in the fourth quarter but we’ll keep the market posted as we continue to underwrite a number of opportunities.
Dave Rodgers – Robert W. Baird : Great, thank you.
Jeffrey B. Carter: Yeah.
Operator: Our next question comes from Tom Lesnick from Capital One Securities. Please go ahead.
Thomas J. Lesnick – Capital One Securities, Inc.: Hi, good morning. Thanks for taking my questions. I just wanted to touch on leasing for a second. On page 20 of your supplement, you obviously show leasing on a year-to-date basis, but and backing out the first six months of the year, it looks like rents and rent spreads were the highest in the past few quarters, whereas the average lease term was a bit lower. So I was wondering maybe you could just touch on kind of what was then leasing for the quarter?
Janet Prier Notopoulos : I think that you’ve got two sort of different stands going on. We do a lot of renewals. We had one building that has a lot of very small tenants. So the volume of leasing and renewals is very high. We had tenants there who have been there for 20 years with 17 one-year lease extensions. So that drives some of the volume and especially lower volume recent quarters. The way the increase is by and large are coming from having moved into the major markets and to the extent that we’ve been doing leasing in the hot Houston market for example or Atlanta, Dallas, Denver, those rents are not only increasing but they are larger than the rents that we were achieving in some of the other markets that once the core markets. So I think that you have continued to see those trends and we have been disciplined about leasing and trying to achieve those rents. We think that those have been strong markets and we are holding firm to try to achieve the rents that we think that they deserve.
Thomas J. Lesnick – Capital One Securities, Inc.: Great, thank you. And then just following up on the other side of leasing with regard to occupancy, obviously the decrease sequentially, I just wonder if you could talk about maybe whether that was a couple of larger block of space or just a bunch of smaller spaces that do not renew? And then what if any lease termination income you guys realize on that?
Janet Prier Notopoulos : So I think you are hitting on the point of the termination income, where we first say, we are still 93% occupied – leased. But the termination income, as you could see was higher in the early part of the year. So what we’re seeing first two quarters and then much smaller in next quarter, so what we’re seeing for vacancy is in part being driven by those terminations where the tenant was still in place, not actually vacating providing tenants of the third quarter. So we’re starting to see the vacancy from those terminations and that’s part of what we’re driving and now with a couple of mid-sized tenants that moved out. And the good news is most of them were concentrated in the Denver market and some in Huston they haven’t been in top market. So we have to amortized those termination fees over the remaining terms of lease, so we get that level in occupancy and termination income all at the same time.
Thomas J. Lesnick – Capital One Securities, Inc.: Okay, great. Yeah, that’s very helpful. Thank you very much.
Operator: Our next question is from Jamie Feldman from Bank of America. Please go ahead.
Jamie Feldman – Bank of America: Great, thank you and good morning. I’m hoping you guys can talk a little bit more about Minneapolis just to help frame the opportunity, but what do you think would be the potential size of any development, I know it’s a little early, but just so we can help think about what’s the comp potentially to come?
Jeffrey B. Carter : Hi, good morning Jamie, Jeff Carter here. The range – we’re looking at a whole range of options with our development team that include on the small end, just looking at pure office anywhere from 175,000 all the way to 500,000 plus or minus square feet. We are looking as I indicated as we’ve had some expressions of interest from hotel operators, we’re also looking at mixed used developments that would be potentially in the density range versus square footage range of up to 600,000 square feet. We haven’t fixed the path, we’re hoping over the next quarter that will become clear and we’ll announce that path but right now all those options that is truly on payable as we work with our team to determine what the best wish for word and recurring parameters could be for us.
Jamie Feldman – Bank of America: And then how do we think about the cost to build, so like that’s easy to 175,000 square foot office versus 600,000 square foot mixed use. What’s the range of potential cap all you need?
Jeffrey B. Carter: I mean I don’t have good enough numbers that I would feel comfortable sharing with you those estimates of cost yet. When I do and we have the better stands of what’s the rest of the time, we’d be happy to share that with the market. At this point, we would be currently meaningless to do that.
Jamie Feldman – Bank of America: You as generous like for recent construction, do you want construction cost have been, I’m just trying to a sense?
Jeffrey B. Carter: It depends on which size project you’re talking about and the complexity of the project. So again I wouldn’t want to speculate, a 175,000 square feet is definitely different from the 600,000 square foot option. And so you could bear with us until we choose a path, we can give you a really good sense of the numbers.
Jamie Feldman – Bank of America: Okay. And then can you talk more about just what the leasing pipelines looks like in Minneapolis that are like tenants looking for maybe a headquarters type deal or kind of just what’s the – if a broker is taking about kind of tenants in the market, will they be talking about?
Janet Prier Notopoulos: But as you probably know – this is Janet. As you probably know, there is some big development going on in Minneapolis right now and that has the great percentage tenants. We are talking with our brokers is part of this development project causing to all size and that’s obviously part of it the whole development process. And so for the smaller building, we’ve got some, there is a number of mid-size to large size walk rooms that are looking, we haven’t really – until we decide in fact what we’re doing what we’re probably going be in that mid-size range not necessarily looking for one giant process, in fact help them. The leasing activities for the tower in St Louis, the tower has been growing well and we’ve been pushing rents there and doing a lot of improvements and anticipations during the development. So that’s a little bit of a flavor that we’re getting, but as far as we’re not building a building for big tenants in the market.
Jamie Feldman – Bank of America: Okay. Even if you did the larger, there’ll be more of a mid-sized tenant it sounds like?
Janet Prier Notopoulos: I think we had multiple tenants.
Jamie Feldman – Bank of America: Multiple, okay. And then just in terms of large expirations, if you look out through I guess 2015, what are the largest expiration to the portfolio and you’re past three new?
Janet Prier Notopoulos: Well the largest one coming right out of this RGA and Denver (ph) that we just talked about.
Jamie Feldman – Bank of America: Right.
Janet Prier Notopoulos: And that immediate, we then have some other same sized one that scattered towards the portfolio and some of those going back to the conversation that we had early about, we don’t expect to renew because we’ve had conversations about renewals and we haven’t been able to bring on the rent, what we think it’s value of growth of leases. So we may see some more terminations or expirations then we would otherwise see. But I think we will – we’re doing that because we believe that we can lease that space, we were quickly and it’s better rates and better overall returns.
Jamie Feldman – Bank of America: That is enough space in those markets, so it tends consign somewhere to go?
Janet Prier Notopoulos: Over there they’ve been hanging on and now had one of the down sized before that the headwinds commitment.
Jamie Feldman – Bank of America: Okay. So do you speak
Janet Prier Notopoulos: That was on that big markets and medium sized tenants, so that I’m talking about 50,000 square foot tenant space they will have – they will start to have a difficult time to do with prices there.
Jamie Feldman – Bank of America: Okay. And the comments that we have in the call about more capital flowing into your (Technical Difficulty) big tenants was there, they were leaving us least. So that’s leasing out very rapidly that very good launch, it’s in wonderful area of Huston and we feel very good about. The remaining space on that being leased very quickly and when that space gets leased, we’re likely to put that property end market like 385 Interlocken and again determining the piece of market is slightly – then now, we should be well order.
John Demeritt: Okay, so essentially between those two loans $75 million of sources of cash. Okay and then just to clarify, I’m looking at page 19, which is your 20 largest tenant, TCF National Bank, that looks like a net number $11 per square foot, I’m assuming that’s the net rent, correct me if I’m wrong and then RGA Reinsurance Company looks like about $22 a square foot and I’m debating whether that’s matter of gross number, do you know the answer to that?
Janet Prier Notopoulos : This is Janet again. TCF is net and based in that is also good, the lower building the one we’re talking about for development has a very well room. And RGA is confusing because of the buildings that we have and the building that RGA controls completely with a net lease, a complete triple net lease and in the third building where they occupy substantial amount of space is what the rest of the building, so you got a mix in there and actually in both of those things you got somewhere of including (ph) this.
Jamie Feldman – Bank of America: Okay and then just on a run rate, John, I think your guidance essentially at the midpoint directs us to about a $0.26 FFO in the fourth quarter, should we then also address, make appropriate adjustments for RGA moving out in the first quarter of ‘15?
John G. Demeritt : Well, I think the $0.26 is part of bottom of the range, right. So –
Jamie Feldman – Bank of America: This is in the bottom?
John G. Demeritt: I believe it is and so that’s subject to some potential real estate taxes we made, it may increase with the value of buildings have been increasing. So we wanted to buy some of that in the bottom end of the range. More top end of the range would be if the real estate tax number was not that significant and we can go and start that somewhat. In terms of first quarter of ‘15, I don’t know we have anything I can guide you through yet, you could go few months ago before we do our 2015 guidance and that will give us a little time to see the idea really looks to give out better –figure better information.
Janet Prier Notopoulos : And just on the – going back RGA and the run rate. Well, RGA is big market space at St Louis. In January, we have a far wonder fully space is available to lease and just sitting in the current vacancies, so I think it’s going to be – it depends upon how successful we are leasing some of what we have remained in four vacant spaces in Minneapolis, RGA.
Jamie Feldman – Bank of America: Okay and John just to try understand this and this is really a simple math. I thought your guidance – your guidance is above 10 to above 12 for the rest of the – for the full year. So it’s $1.11 minus $0.85 year-to-date is $0.26 at the midpoint for the fourth quarter?
John G. Demeritt: Yeah, that’s correct.
Jamie Feldman – Bank of America: Okay, got you. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to George Carter for any closing remarks.
George J. Carter: Thank you very much for listening to our earnings call and maybe its next week in announced we hope to see some of you there. Thanks again.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.